Martin Bouygues: Ladies and gentlemen, good morning and thank you for being here in such large numbers. I'll be making this presentation with great pleasure. All the more so, and this is an important moment, from my point of view, because, as you know, we changed the Group's organization last September. I decided to appoint two Deputy CEOs: Philippe Marien and Olivier Roussat alongside Martin Bouygues; so, three Deputy CEOs in all. I'd like to begin by thanking them because I think things have gone remarkably well. Not that I ever doubted it, but it's all the more pleasant to be able to say so, having checked it out. Now, I believe that it's important for the Group. It's important for the Group, because our intention is to ensure the Group's future -- or sustain the Group by ensuring that the most important part of our capital, which is our corporate culture, which is a very original feature. It's very specific and, to Bouygues, very original. But we want that to continue to develop and evolve over time. The second reason I'm very happy to make this presentation is that the results are very good. They're, in fact, substantially better than last time round; and you'll see that in all our businesses. We are well positioned -- yes, well positioned would be probably the best way to put it. Okay, a few words about the highlights and the key figures. First of all, the results in the fourth quarter of 2016 are confirmation of the good trend we told you about at previous presentations; also, a good confirmation of the good trend of the first nine months. The Group has either met or exceeded all its targets for the year. 2016 is proof of the fact that the Group is well positioned to seize new opportunities in its markets. I'd even say that the major crisis, in 2012, and the very serious crisis in telecoms is now well behind us. So, the Group met or exceeded all its targets in 2016. First of all, let's remember that we set ourselves, as a goal to improve -- or to continue to improve the Group's profitability. Well, in fact our current operating margin stood at 3.5%. That's up 0.6 of a percentage point by comparison with 2015, 60 basis points. In the construction business, we told you that we expected to improve our profitability from 2016. Well, our current operating margin in construction was 3.5% specifically in construction, which is up 30 basis points on 2015. In media, that's television, TF1, we wanted to decrease the cost of programs at TF1's five freeview channels to €970 million. Well, we reduced them to €960 million. So, we've actually done a little better than our target. We also said that we would be making an additional €5 million to €10 million in savings, thanks to the One Transfo plan decided by Gilles Pelisson. Well, the additional savings were actually 6 million. So, as you can see, we're on track. This brings me to telecoms. This was absolutely essential for the Group's business and its future. The goal was to return to long-term growth in sales and earnings at Bouygues Telecom. Well, sales rose 6% in 2016, after a growth of 2% in 2015. The EBITDA margin was up 3 percentage points after an increase of 2 percentage points in 2015. The savings plan we announced 400 million in 2016, by comparison with 2013. Well, the cost savings were actually better than that, because we saved 427 million. Net CapEx, the target was around 800 million. In actual fact, our net CapEx stood at 802 million. I will tell you more about that in just a few minutes. The Group is well positioned for the future. The business segments have adapted their strategies and organization to changes in their markets, in order to grasp new opportunities. What that means is that first of all, we are more client-centric. We've broadened the portfolio of offers with innovative solutions, for instance, the development of sustainable neighborhoods or buildings, or rehabilitation of sites to make them energy positive, the famous solar route built by Colas; flexible and collaborative workplaces, invented and developed by Bouygues Immobilier; connected homes in the construction businesses; and many more developments and applications, that we haven't listed here, but there are -- actually, the -- what we do. The 4G box that we'll be telling more about later on in less dense areas of France. There are -- this 4G box is already a credible solution. We also have credible solutions in the Internet of Things at Bouygues Telecom via Objenious, our subsidiary. Also, virtual reality in TF1 programs is already in existence so to speak. So, they're all very significant changes, not to mention the adaption of organizations and a culture of flexibility and efficiency. Now, that's always been the case at Bouygues, but increasingly so. I think from that point of view, the very serious crisis that we've experienced in telecoms, in France, and particularly at Bouygues Telecom was, of course, I think something that triggered this -- an expansion of this culture. I think Olivier Roussat and his team made a number of choices to ensure Bouygues Telecom's strong growth dynamics. These were risky, complex, courageous choices. They were shared by all our colleagues in the Group and at Bouygues Telecom. These are strategic options that have proved relevant, as you will see in the results in a few minutes. I should add that that has enabled all our employees to understand this need to constantly adapt our organization and our working methods to the reality of the markets we operate in. Final point, we are working on, like quite a lot of others, is something we are putting a lot of energy into. It's the Group's digital transformation. I mentioned, for instance, 3D dynamic modeling in the construction sector, the Building Information Modeling, or BIM as it's called; immersive 3D visits, which we do at Bouygues Immobilier; 65% of our mobile customer relations are digital at Bouygues Telecom; MYTF1Xtra is 100% digital; that's the TF1 channel. There's an awful lot happening in terms of digital development, digital activity throughout the Group. This is because we believe that digital is a locomotive for the growth of new projects and offerings for our clients, but digital transformation is also the way to improve the Group's productivity. So, this brings me to the key figures. Well, sales were down 2% in 2016. Sales were stable in France and down 5% in international operations. This was mainly due to the adverse effects of currency exchange. On a like-for-like basis, the Group's sales would have been stable over the year. 2016 was marked by the sharp growth in the Group's income. Current operating profit rose 19%, largely driven by the improved profitability at Bouygues Telecom. The current operating margin was up significantly; 60 basis points on 2015. Operating profit rose 42%. Now, this includes a number of non-current charges, mainly at TF1, Bouygues Telecom and Colas for a total of -- about the same amount as 2015. Of course, we also benefit from the sale of 500 towers by Bouygues Telecom. Net income includes the capital gains from the disposal of our stakes in the Adelac and Atlandes motorway concession. So, when you factor out non-recurring items, net profit attributable to the Group was up very sharply by 29%. That's excluding exceptional items, of course. The financial situation. The financial situation improved sharply. Shareholders' equity rose €127 million to €9.42 billion. The net debt was reduced substantially by €695 million, to stand at €1.866 billion, giving us a gearing of 20%, which is a very satisfactory level. The long-term outlook at Bouygues has been BBB rating from -- to stable by Standard & Poor's last year. The Board of Directors, as you know, has proposed that the dividend be maintained at €1.60 in respect of the 2016 financial year. They're the key figures. They're the main strategic orientations. I now propose that Olivier Roussat now come to give you more detailed comments -- a more detailed review should I say, of our operations.
Olivier Roussat: Good morning, everybody. I'm going to try and not to speak too fast and yet to speak up. My failing is that I tend to speak fast and the ends of my sentences tend to tail off. We did a trial run with the journalists earlier on; I'm going to try and do better this time round. Let's begin our operational review with the construction sector. On the first slide, you have three completions. First of all, the Hong Kong Zhuhai-Macao bridge in which Bouygues was involved in 2016. Bouygues Immobilier built a building called Coeur Boise. This is a low consumption for 54 dwellings in Chaville. And on the right-hand side, we have the new coastal road on Reunion Island, where Colas was involved. Now, before moving onto the figures, we've a short film to show you the main achievements in the construction sector; a number of emblematic achievements demonstrating the Group's know-how in France and outside of France. A quick look at the video. [Audio/Video Presentation] Okay, back to figures now after that short video. Construction did pretty well in 2016 with an order book at a record level of 30.2 billion, that's up 4% year-on-year; 6% at constant exchange rates. On the slide, you'll see one of the pictures you saw in the video, that's the MahaNakhon Tower in Bangkok, the highest in Bangkok at 314 meters that was completed by Bouygues Construction in 2016. Let's move to France, after several years in decline the environment stabilized in France. The order book for construction, which was up 1% over the first nine months of the year, ended the year up 7% year-on-year, with significant orders taken in in the Q4, such as the rolling out the FTTH network in the Nord, Pas-de-Calais and Savoie departments; such as the gas duct, between Gascogne and Midi, and in Saone-et-Loire by Colas. Housing reservations at Bouygues Immobilier continued on a strong momentum with a 19% increase in 2016, shored up by low interest rates, the Pinel Law, and the extension of the zero percentage interest rate loans. The order intake at Bouygues Construction rose 17%, with several major contract signs such as the extension of the harbor in Calais; the out of town La Defense; and the first orders taken in for the Greater Paris Plan, including the extension of the number 14 Metro Line. After three consecutive years in decline, Colas saw its order book rise 7% year on year. This context means that we can anticipate a slight pickup in the construction sector in France in 2017. International development now, the order totaled 16 billion, up 6% at constant exchange rates. On this slide, we've shown you some of the more significant contracts booked in the Q4 2016, such as the construction for the building of Hinkley Point, for a total €1.7 billion; or the earthworks civil engineering and railway construction, for a total of €129 million in road works in Guinea-Conakry. 58% of the order book at Bouygues Construction and Colas is achieved in the international markets. Next slide, which we've been showing you for a number of more recent presentations, this shows you where our sales spread worldwide in international construction and, of course, the IMF's growth forecasts for 2017 for these regions. We have a color code representing the level of risk, as defined by Coface. In green, you have countries that are -- have low risk; in orange, you have the B and C ranked countries, where the risk is medium to high. As you can see on this chart, Bouygues is present in high growth, low risk countries with 39% of its business in Northern and Central Europe; 26% of its business in North America; and 19% in Asia-Oceania, Asia-Australia. Key figures in the construction business. Well, construction sales were down 4% over a year; the negative impact of exchange rates because of the depreciation of sterling, and the Canadian dollar to a lesser extent; but also, changes in scope of consolidation, particularly at Colas, largely due to the sale of the bitumen storage and distribution subsidiary in Asia, of which Colas had a 32% stake. When these are factored out, growth was only down 1% -- sales growth was down only down 1%. As expected the growth in profitability in the construction business improved in 2016. Our current operating margin rose 0.3% to 3.5% of sales. The 2016 performance, I think, showed us just how well positioned the Group is in its construction markets. Taking things a step further, you can see that the Group is well positioned on the basis of two major trends with a view to the Group's long-term. First of all, we have ahead of us growing needs in infrastructure and building, because of strong demographic growth in the world, and the major organization phenomenon; and, of course, environmental changes that are playing an increasingly important part in many, many countries. In this context, the Group's construction businesses are well positioned to seize these opportunities, thanks to the fact that they have assets that set them apart. Through the various achievements, you saw on the video, you'll have seen examples of that. But in the next slide I propose to focus on some of our strengths in the field of sustainable construction; these are assets that make us really a reference worldwide. Before moving on to these very targeted assets, here we have three of the projects that you saw in the film, the largest solar farms in Southeast Asia, in the Philippines; Nextdoor in La Defense, and saw an example of that on the video too; and now, the famous solar route called Wattway that was built by Colas. Now, in sustainable construction, we have numerous fields of expertise enabling us to provide a very wide range of offers. For instance, we design, build, and manage eco-neighborhoods, such as the XXL neighborhood in Marseilles, the Lyon Living Lab. We also renovate buildings including buildings that are lived in; the 17 buildings in the University in Bordeaux. We build offices and passive or positive energy buildings, such as the residential buildings in Argeles in the Pyrenees, or Green Office Spring in Nanterre. We also provide services to cities such as public lighting, we manage public lighting for Paris, street lighting that is. We also build infrastructure for tramways, as in the case of Budapest, or Rabat in Morocco at the moment. And, we also assemble solar farms such as the one that you saw in the film and on the previous slide. So, we have numerous assets. We have a very powerful R&D network, with close to 65% of our investments devoted to sustainable construction. Our technical expertise is acknowledged and we create innovative concepts, such as the Wattway, the first solar road surface in the world. The fact that we invent differently, that we have flexible workplaces, like Nextdoor or City Box, which is a small company set up by Bouygues Construction that transforms street lamps into vectors for various innovative services. This means that we have a really unique offering that covers the entire value chain from the analysis of usage to deconstruction, not forgetting design construction maintenance, and a whole series of other services to users. This is all based on the Group's know-how in construction. And telecoms, we've mentioned the importance of the Internet of Things among others, this is all developed, of course, systematically with the input of end users. Let me give you a few examples of what we've achieved, in terms of sustainable construction. 15 green offices, these are positive-energy office buildings that are either being built, or have already been handed over in France. 10,000 electric vehicle charge points in France; over 80 solar farms assembled worldwide; 157 timber-construction projects in Europe, be they new buildings or rehabilitations; and the first photovoltaic road surface in the world, called Wattway; now-famous Wattway. Let's now move on to TF1. Giles will have given you the annual results, so I'll go over them very quickly. The key numbers for TF1. We have an overall figure of revenue of €1.5 billion. Last year we had €34 million because of the deconsolidation of Eurosport France. We have operating profit of €45 million, including €84 million in non-current charges. Giles told you about the strategy. We want to be a multi-channel -- multi-media channel, so as to be provide viewers with content on all platforms: TV, tablets and what not; and integration including production all the way to broadcasting. Our strategy is to target the five free-to-air channels of TF1; have new growth areas; develop new formats, short formats, advertising platforms. We have acquired MinuteBuzz. MinuteBuzz is something that creates small format on social networks. We want to broaden TF1's digital footprint and, of course, we took over -- we took a stake in Studio71. In terms of production we want to produce new types of programs, and develop production internationally. Indeed, we have just acquired a majority stake in Tuvalu Media, which was the first independent producer in the Netherlands. The strategic direction is to provide an attractive and differentiating offer with a great diversity of production; extend production with new distribution channels; and, of course, extend the platforms for broadcasting. La vengeance aux yeux clairs was a case in point. The first airing was on TF1, then on HD1, then on platforms. Then, there was even an option to see different alternative addings. Our objecting is to have a double-digit operating margin by 2019. Let's move on to Bouygues Telecom. Bouygues Telecom's strategy was devised in H2 2014. Now, the numbers show that we were right in these strategies. We had a good commercial momentum. We were able to confirm the growth, both in earnings and sales, of course and our objective to have a 25% EBITDA margin target for 2017 is right on line. Looking at mobile first. Here you have a chart studying 2014. You may remember that our strategy changed in Q2 2014 -- not H2, Q2 2014. We ended the year with 13 million mobile customers, an additional 1.1 million in 2016, including 335,000 in Q4. Not including machine-to-machine customers, we have an additional 228,000 mobile plan customers. So, that confirmed the objective that we had in 2014 to have an additional 1 million additional customers by 2017. We actually met that target one year ahead of schedule. The interesting thing here about this slide is that we have a significant increase in the number of customers, and so you can see that there was some commercial activity in France. Yet, our ARPU remained stable for mobile phones, even though you have a larger customer base. Now, on 4G use we have 6.9 million 4G customers; 65% of the mobile base, not including machine to machine, because this works only in 2G. A significant increase in mobile data use with 4G customers. We have 4.2 gigabytes for 4G customers per month. That's 1.7 times more than we did one year ago. We pointed out that for Sensation premium offer we have as much as 9 gigabytes per month for these customers. This was made possible, because we made it possible through the use of music and video content. If we can move on now to fixed broadband, the year ends with 3.1 million fixed customers. That's an additional 98,000 customers in Q4 2016. Indeed, 313,000 extra customers for the year as a whole. On the right-hand side of the slide, you can see the way in which we are -- well we're heading for this additional, towards 1 million customers on broadband. We are right on target to reach that number by 2017. We see that FTTH accounts for 26% of the growth. We have 121,000 FTTH customers at end December. If you include the very high speed as defined by Arcep, that is more than 30 gigabytes -- megabytes, I beg your pardon, we're looking at 482,000 very high-speed customers by end December 2016. Now, these numbers have a broader base and a stable ARPU, which means that the sales from the network is up for the sixth quarter running. It's up 6% for the year 2016 compared with 2015. If you look at the sales figure, we have fixed and mobile. Mobile is up 5% in 2016 compared to 2015. EBITDA stands at €916 million, up 3 points compared with last year. You may remember that we have a target of 25% by 2017. Now, it stands at 23%, for the margin. We are looking at savings of €427 million. We were looking at €400 million; so we exceeded the target. Operating profit listed there includes the capital gains resulting from the sale of towers. Regarding capital expenditure looking at €802 million, but this does not include the disposals conducted in 2016. The total CapEx was €1 billion in mobile infrastructure and fixed infrastructure as well. But, of course, if you net it out, it comes to €802 million. We are investing in the very high speed mobile and fixed. In 2017, we'll be investing €1.2 billion in gross capital expenditure where the dual target, number one, is to maintain -- sustainably maintain our leadership in 4G networks and prepare for the arrival of 5G. I'll mention this is in a minute. The second purpose is to speed up the rollout of the FTTH network to keep pace with the growing demand from households for very high-speed fixed services. Of course, this means that we develop the infrastructure we invest ourselves in key differentiating infrastructure and we either share or lease or, indeed, sell off infrastructure, which is less differentiating. If we move on to the number one objective, that is maintain a sustainable leadership in 4G, well, we will improve coverage and quality of mobile service, mostly in dense areas where we continue to identify the network. We propose to add an additional 50% sites in dense areas for the next four years. In the less dense areas, it will be a short improvement in 4G coverage. We're moving from 85% at end 2016 to 92% at end 2017; and, indeed, 99% coverage by 2018. On the right-hand side, you can see that Bouygues Telecom is the operator with the largest number of active 4G sites at end January 2017. Then, we also propose to use our own 4G differently from our competitors. In less dense areas what we've decided to do is use 4G to deliver fixed high-speed services, and so we will be launching -- we launched, indeed, in January 2017 the 4G box, which provides very high speed Internet to the home. That is made possible, because of the high quality of the 4G network that we have there. This offer is accessible -- available to 6 million households now. It will expand to 10 million households by the time -- as we roll out these 4G networks in the less dense areas and we actually have a little film illustrating that offer, introducing Bouygues Telecom's 4G box. In October 2013, Bouygues Telecom connected 63% of the French public to its 4G network. Since then, 4G coverage had steadily expanded. Today more than 85% of the population is connected and, by end 2018, thanks to Bouygues Telecom, the coverage will reach 99%. While Bouygues Telecom's 4G network is developing fast, ADSL infrastructure has now halted. Millions of users still have slow connections and yet digital technology is essential for economic activity. Bouygues Telecom's mission is to provide the French public with the full range of digital technologies. Starting this year, we are introducing the new 4G box, delivering high-speed Internet access to millions of users, thanks to our high quality 4G network. This technological breakthrough will be rolled out wherever 4G is available and ADSL is too slow. Bouygues Telecom's 4G box provides a simple solution to the growing connection needs of our users across the country. What if the Internet came to our home with Bouygues Telecom's 4G box? Plug in, switch on and surf. 4G box, the high-speed Internet in your home at last. Well, then having mentioned the 4G, what about 5G? On the right-hand side of this slide, you have the timetable of the -- well, the various items that will make 5G possible. You have to standardize the technology. We have to allocate -- well, frequencies have to be allocated. We mention this because there's lots of talk about 5G, as if it was tomorrow. In actual fact, 5G will be actually available to customers by 2020. We'll have pre-5G in 2018, but that is not -- will be not exactly up to the final standards, so it will be a number of years before we get there. In any case, Bouygues Telecom's position, we are the reference for 4G and we propose to be the reference for 5G when 5G, when that becomes available, and we've been working on this for the past year or so. In 2016, in fact, Bouygues Telecom was the first operator that conducted -- in May 2016, we conducted a test with more than a gigabyte per second on test conditions in Meudon. We will be conducting other tests in 2017, indeed in the weeks to come with an equipment manufacturer using -- providing the tests and if -- while the technology is not completely finalized and -- well, until such time as the frequencies are located, we cannot build the antennas. But, 5G in each of the antennas will need to have optic fiber. So, what we're doing right now, we are providing fibers to the dense areas of Bouygues Telecom. The idea is that this should be completed by 2019 and we started providing fibers to the less dense areas, so as to be able to provide a service to customers when 5G is, in fact, available. The second biggest issue is the ramp-up of FTTH. Now, FTTH, at end 2016 we had nine million secured premises. Secured means that we have rolled them out or they have been ordered up to the point -- to the cabinet. We have as many as 500,000 premises on our own network in dense areas. That's new, because we used not to develop optic fiber using our own resources. We will have 2 million premises marketed by 2016. The objective for 2019, we're looking at 19 million premises secured; 12 million premises marketed. What is this about? The idea is to roll out PIN zones. Whenever a PIN becomes available, you can acquire it. Axion is the first rip operator for FTTH in France. We will have 100% of the medium dense area covered, meaning that whenever this zone is -- this area is open by operators, we'll be there offering services available commercially. By 2019, we will have 90% of the very dense area covered. So, this is rather different from what we did in the past. Now, we will be much more proactive on FTTH. Now, the target for 2022 is to have 20 million premises marketed. I mentioned 10 million for 4G box. Now, some of the 10 million will be irrigated by optic fiber but we believe that at that date you'll still have as many as 4 million customers not yet covered by optic fiber, and will still be eligible 4G box. So, you're looking, all in all, at 24 million households that can be covered by -- for their high-speed service. Now, before Philippe gives you the numbers, we do have the second part of the movie that we showed earlier, the highlights of 2016 for telecom and media. [Audio/Video Presentation]
Philippe Marien: Ladies and gentlemen, good morning. I'm going to give you the main items in our income statement. Of course, on our website you will find the Group's consolidated financial statements and the notes. Now, the consolidated for the five statements for Bouygues SA, the holding company, and for the five businesses. Income statement, well, I'm not going to comment the sales of €31.768 billion or the current operating profit of €1.121 billion, because Olivier has explained these business by business. Other operating income and expenses at minus €174 million, well, two things I'd like to say. First of all, you have non-current charges totaling €287 million. In terms of the figure itself and the type, they're very, very similar to the non-current charges that we announced throughout the year. And of course, one non-current income source of Bouygues Telecom, including €104 million for the disposal of the 500 towers by Bouygues Telecom to Cellnex. That was in the course of 2016. Net debt, cost of net debt is down by €53 million. That's a net decrease mainly thanks to €60 million in lesser financial expenses. Two causes: softer interest rates on loans; and secondly, the lower level of the Group's gross debt, in particular the level at the parent company, Bouygues SA. Other financial income and expenses total €41 million. That includes €65 million from the disposal by Colas of its stake in Atlandes, which is the A63 motorway concession company. Continuing down the income statement, income tax of €249 million. That's up on 2015, because of the fact that our profits were up, of course. That gives us an effective rate of tax of 32.5%. If you restate that for the capital gain on Atlandes, which was a softer rate of taxation, the normative rate would have been 32%, which is very close to standard effective rate of tax. The share of net profit of joint ventures and associates, €267 million. This is where we will find the €129 million in capital gain by the -- from the sale of Adelac by Bouygues Telecom and Colas. Now, in this €267 million, we have the €36 million from Alstom's contribution to the Group. That's identical to the figure at the end of September, because, may I remind you that twice a year we integrate a contribution from Alstom to the Group's results, when Alstom produces its annuals at the end of March and its half-yearly results at the end of September. Overall, net profit attributable to the Group of €732 million, which is up very sharply on the previous period. Importantly, and I think that this needs to be commented, the final line, that's net profit attributable to the Group, excluding exceptional items because, as you know, in 2015 and in 2016, we had a number of non-current charges, but also a number of non-current income items. When we restate for the two of these, we factor out exceptional items. Of course, you have the breakdown in the annexes and attachments, which, as I say, factors out these exceptional items in 2015 and in 2016. You will see that we, actually, have a very significant increase, a 29% increase of net profit attributable to the Group, excluding exceptional items. This is perfectly consistent with the guidance that we gave you -- we gave to the market, when we told you that 2016 will be characterized by improved profitability in the various business segments in which the Group is involved, which is exactly as happened. Moving on to the balance sheet, a few comments. First of all, the non-current assets is down due to two main changes. First of all, the consequence of the Alstom buyback in the first quarter, which generally had €976 million in cash for us but which also reduced the value of our non-current assets on the balance sheet by an equivalent amount, of course. That's less in non-current assets. But there was also the increase in non-current assets, an increase in goodwill of €127 million, due to the acquisition of Newen, and due to the number of acquisitions made by Newen in 2016, which here increased that figure of non-current assets. They're the two main changes that explain virtually all changes in this particular item. Current assets were up by €1.7 billion, €1 billion due to cash; slightly less €960 million. In particular, the increase in Q4 due to, let's say, tight management of our good momentum of our working capital requirements. As is very often the case -- or has been very often the case in previous years, in Q4, we have this fact that all our staff really gets behind receivables in particular. In 2016, in particular, the construction businesses took in a number of orders towards the end of the period, which led to a number of startups or initial payments or down payments, which of course improved our cash position at yearend. There is also a further €700 million in current operating assets. On the liability side, shareholders' equity rose by €127 million. A number of traditional changes in the shareholders' equity, but the earnings for the period, capital changes were €220 million. This is the employees' saving scheme. We made a special share issue at the end of the year for the benefit of all our colleagues; and, of course, the number of stock options that were exercised. We have income and expenses directly in here for €140 million. These are traditional movements. Actuarial changes, because of the change in exchange rate and translation rates on foreign exchange. A dividend of minus €660 million over the period, €662 million. It's a dividend that repays to its shareholders, but minorities in Colas and TF1 paid to their shareholders too. We also had a change in scope. So, €117 million corresponding to the evaluation of the call option that we have on minorities in Newen. Non-current liabilities up €976 million, mainly due to long-term debt 876 million. Then we have the bond issue, the 750 million bond issue at the end of the year, in December 2016, and the impact on long-term debt of the inclusion in our scope of consolidation of Newen Studios. This had an impact on Newen Group's debt, but also the valuation of the call option, which is carried under debt on Bouygues Group's consolidated balance sheet. That's what I wanted to say about the balance sheet. It leaves a net debt of 1.86 billion. A few words about a figure that may not be very big, but I think deserves that we dwell on it, particularly in terms of our prospects for 2017/2018. It's 120 million in activities held for sale at yearend 2016. This is the net book value of the 1,800 sites that we have with Cellnex, the 1,800 sites that we'll be selling to Cellnex in periods to come. At the time of cutting off the accounts in January and February, they are now assets held for sale under the terms of the agreement that we have entered into and signed with Cellnex. The net book value is -- of these 1,800 sites is 120 million, to be sold over the next two periods, 2017 and 2018. 1.86 billion in net debt, down from 2.56 billion the previous period. Well, how did that net debt situation change? Net acquisitions, that, after disposals, generated 860 million. The main changes were the Alstom buyback for 976 million generated; the disposal of Adelac, the A41 motorway concession group that generated 130 million And the acquisition of Newen, which cost us -- of, course, that's Newen Studios, now, the 70% stake that we acquired, of course; but also the valuation of the put option, I should say, not call but the put option for the remaining 30%. Others include changes in capital, 150 million, corresponding to a capital increase reserved; the excess of stock options; and TF1 that invested to buy back its own shares. 662 million for dividends. I mentioned this when I commented on changes in shareholders' equity. We paid out one-half of the price of the 700 megahertz frequencies that we acquired at the end of 2015. The payment was in four stages; two instalments in January and December of 2016. We still have to pay 25% in 2017 and 25% -- the remaining 25% in 2018. Now, operations generated 580 million in cash over the period. Now, let's take a closer look at these changes in net cash position. Well, net cash flow increased quite substantially by 359 million over what we generated in 2015, and I'll come back to that in a second. Net CapEx also rose. It rose by 215 million. That's perfectly consistent with the CapEx budget that we told you about. We said that we'd be investing a net 1.6 billion in 2016. That was exactly what we did. You can see that the increase in -- net increase in CapEx is lower than the net cash flow increase over the period. Of course, changes in operating working capital requirements, which, ultimately, led to a contribution of €185 million to our cash position. So, undeniably better than expected; better than the guidance I gave you. Though you do know that the changes in working capital requirement in the construction segment are always difficult to estimate. There are always a number of effects, due to the order intake in Q4, and that's difficult to anticipate. Also, the fact that we are always surprised by the great quality of the work put in by our operating people at Bouygues. It so happens that once again they have pleasantly surprised us, they were more efficient than we expected. Not that we try to make particularly optimistic forecasts, we don't. Finally, by comparison with the situation at the end of September, exchange rates, over the full year, reversed the trend we were on. At the end of September, the aggregate impact on working capital requirements was very negative. We expected that that trend would continue, well it didn't. There was another adverse effect, but by comparison to our expectations. Of course, that impact was €100 million or thereabouts which is far from negligible. That's what I wanted to say about the cash position. A few words about our net cash flow, which is up €359 million. There are two very different phenomena here. On the one hand, we have the improvements in the construction business by €90 million. Likewise, at Bouygues Telecom the improvement was €108 million, so that's €200 million more in the net cash flow generated by the improved performance of these two businesses, construction and telecom. TF1, the €137 million improvement was of a completely different type. Throughout the year, we saw this ongoing with the acquisition of Newen, the change in the rules on the French fiction; we have become co-producers and co-owners of fiction and drama. This changes our net cash flow, but it also has an impact on our CapEx. In other words, we have more cash flow, but we also need to invest more in CapEx. The impact was neutral in free cash flow, but it does have an impact on cash flow and CapEx, which are the two components of free cash flow. This we will find in CapEx, because of the €215 million. You will see that €151 million were invested by TF1 for these two impacts; the Newen impact and the change of rules in co-production in France. Outside of these two phenomena, outside of these two, it changes in the business model, TF1 has continued to invest on the same basis as in 2015. Another thing we commented, we said we'd do, is that we increased CapEx at Colas. 2014 and 2015 were very weak years in terms of CapEx, because of the fact that the environment situation was not good. Well, as you've seen the situation, has picked up in France and the quality of the Colas portfolio required that CapEx be increased and this is what we anticipated and this is what we did in 2016 cash by business segment. Here's the breakdown of the 1.9 billion net debt by business segment. To understand how these different business segments have changed I think it's important to understand a number of things. The scope of consolidation is not exactly the same, because unlike previous periods in 2016, we asked a number of our subsidiaries to make a down payment on the dividend in respect of 2016, that's before 2017. That's something we didn't do in previous years, but let's look at the figures. Reconstruction up €115 million, that was after payment of a dividend of €250 million. To compare the two figures we'd need to add €250 million to the change in the net cash: €90 million at Bouygues Immobilier and €178 million at Colas. If you adjust the figures by those amounts, you'll see that net cash actually performed very well in each of these segments. At TF1 the decrease in net cash was due to the pay out in 2016 of an exceptional dividend, as a result of the proceeds from the disposal of Eurosport, plus the acquisition of Newen, which, of course, meant an outflow of cash. Bouygues Telecom requires no particular comment. The holding company improves by almost €1.4 billion which enabled us to significantly reduce the debt held at holding company level, which had an impact on gross debt and, of course, enabled us to work on our financial expense. Two impacts: the Alstom buy back, which generated €976 million in the year; and the €512 million interim dividend paid by the three construction businesses in anticipation. One final chart is the Group's liquidity. Very satisfactory level because we have available cash of €10 billion: €4.6 billion in cash or cash equivalents and €5.5 billion in undrawn medium or long-term facilities. Now, these facilities are comprised of hundreds of different facilities with different maturities, meaning that we do not have to renegotiate a very large amount every so often. On the contrary, we are constantly renegotiating smaller facilities of between €50 million and €100 million, which means that we have a total facility of €5.5 billion undrawn. Of course, the debt schedule and maturity schedule, which is mainly bond debt held at parent company level. Here, again, you'll see that we've no re-financing issues in the years to come; no particular difficulty re-financing or borrowing over the years to come, as I said. The first significant redemption would be in 2019 for €1 billion, and I don't think that's going to be an issue. That's what I think can be said about our financial statements for 2016.
Martin Bouygues: Okay, thank you, Olivier; and thank you, Philippe. Let me now say a few words about our prospects about the Group's outlook. Well, in 2017 the Group should continue to improve its profitability. The market has very good long-term growth prospects, sustained by the gradual roll out of infrastructure programs in developed countries. Construction businesses will continue to take a selective approach and focus on quality rather than quantity. The current operating margin should, therefore, continue to improve in 2017 and TF1's multi-channel, multi-media, multi-business strategy should enable it this year, and over the next three years, to maintain the average annual cost of programs at €980 million for the five freeview channels, and achieve recurrent savings of €25 million to €30 million. This should also enable TF1 improve profitability with double-digit current operating margin target in 2019. As for Bouygues Telecom, well, it's confirming its EBITDA margin of -- target of 25% for 2017, and has set itself a new target of €300 million in free cash flow in three years' time. That's it, that brings us to the end of our presentation. We will now try to answer your questions.
Q - Nicolas Didio: Nicolas Didio, three questions. On dividend, the performance is very good; the dividend has been stable for the past 10 years. What would it take for the dividend to increase? Second question on telecom, you have a margin target of 35% -- a long-term target of 35%, now you have a different one, you simply -- should we forget about 35% just EBITDA minus CapEx? And then the third question on again telecom, Iliad has been working hard with CanalSat, Orange on the premium end of the spectrum. What is Bouygues Telecom's strategy on content, as, of course, there will be new developers coming up on television?
Martin Bouygues: Right, dividends, I am somewhat surprised here. We have been -- we've been very careful through the difficult times we went through. We were careful to maintain a satisfactory payout level. At this stage, at €1.60, the payout is still pretty high. But not just that, and this is something I tend to see eye to eye with my colleagues on, we have to make for, well, dynamic growth in the Group, so we have a significant capital expenditure in the telecom business. In mobile we have a significant CapEx, and in fixed with FTTH we have to be, want to be very much present. Likewise, all other business areas have significant development plans. Some projects are, actually, being rolled out and so we do need to preserve the Group's financial health, so as to be able to enjoy sustainable growth. Olivier will take question two, but I'll -- about question three. I have -- on content, I happen to be the oldest member of this organization -- of the organization, knowing TF1 before and after privatization. Bouygues -- TF1 has been private the past 30 years. Bouygues Telecom was created 20 years ago, so I am well familiar both with the telecom business and the television business. This by the way is no new subject, remember Vivendi's at the beginning of the millennium, there was a similar discussion. Now, I have various views on this. One thing is say, well, look, with telecom our first and main business is to be carrier, a signal carrier. It is for us to provide the best possible signal at the lowest possible price, and that is what customers are expecting from us. That is the -- our core business. Number two, looking at TF1, TF1's purpose is to provide news and entertainment for viewers, but also for shareholders to get the best possible return. So, we have this dual obligation. Now, if we were to provide a sort of strict vertical integration between Bouygues Telecom and TF1, I'm not sure this would be good for Bouygues Telecom, and I'm pretty sure would be bad news for TF1. I don't think it would be a good idea all round. You have to recognize that we have been looking at this for some time. People at TF1 who worked at Bouygues Telecom before and vice versa, there are many of our staff, who have been in both companies; some of them are in the audience. We have regular meetings between the two companies, and we look at all possible ways of co-operating. This is -- there's nothing new under the sun here, we already have things in common between the TF1 and Bouygues Telecom, but I do not want to go for a full-fledged vertical integration. Indeed, neither do we do this in the construction business. We have Bouygues Construction and Bouygues Immobilier likewise. You don't have vertical integration. In fact, to the contrary, we want Bouygues Construction and Bouygues Immobilier to lead their own lives. Now, obviously, sometimes the operations are conducted jointly, but there is no obligation on either side. Now, the only obligation they do have is to provide for their customer to cover and protect their customers' interests. But, of course, we are always open to new possibilities. TF1 has been a golden opportunity. Well, it is an opportunity for a media convergence for Bouygues Telecom, but I do not want to weaken one to the detriment of the other. That would simply destroy value for the Group as a whole, and so that would be the wrong move. And on second, yes, Olivier.
Olivier Roussat: Yes, you mentioned Canal earlier on, the two Canal offers offered by the competition do not include Canal's differentiating offers. The offers look very much like what we have at Bouygues Telecom, called Grand Angle. So, we decided not to offer this because it's already on offer; or, at least, we have it already. And then the second part of the question it will be -- we'll have -- we'll do both, Nico. We said 35% for EBITDA, this is not being questioned. We are just mentioning an -- well, in the meantime we're looking at €300 million in cash flow. For EBITDA, we're looking at the -- well, a bigger installed capacity improving gross margin, because there will be ADSL and FTTH being completed. So, we will be in line with the guidance given in 2015.
Vincent Maulay: Vincent Maulay, Oddo. I have a question on capital expenditure, and then the effects of political circles on telecoms. For Bouygues Telecoms having -- even though you need to spend CapEx, you can still provide dividends. But if you look at assets, if you -- if you are putting CapEx under pressure that might jeopardize the future of Bouygues Telecom. You've sold off towers, but that's not going to be --
Martin Bouygues: Look, I'm not sure we account capital expenditure in the same way. There may be differences the way telecom operators account their CapEx. I am not concerned. Yes, there is -- well, our competitors have been airing some form of propaganda. But there was different propaganda, say, from the competitors saying we'll never be able to do it. For once, at Oddo, please, trust us on this one.
Olivier Roussat: Well, I don't know who put the question, yes. Specifically, I may not have been very specific. There's one important thing, we will be providing FTTH at the same pace as our competitors, which means that the decision we made, and that is why we will have 12 million secured premises by end 2017, as the medium ranges offer we will be available from day one for commercial offers, likewise for PINs. For the mobile CapEx, we're sharing out the network, which means that, of course, we can save on CapEx significantly. The third item is that up until now we've always been the ones who were able to have low CapEx on mobile, we haven't changed people and we're not going to change ways of doing things. One last thing is we do not activate frequencies in our CapEx, and so we don't play around with the CapEx figures regarding frequencies.
Vincent Maulay: Yes, but right now, in industrial circles, we hear that there are different types of models. You have OpEx buying for fibers, rather than CapEx seen -- the breakdown between OpEx and CapEx can be adjusted. The other question about the upcoming elections, to what extent -- Bouygues and Colas, are you sensitive to whoever is in charge, because, of course, if you have loyal customers along local authorities, is that what can protect you against political uncertainty?
Martin Bouygues: Well, the domestic share of our business is growing smaller; the international share is growing. In France, regardless of who is in charge, who is in power, of course, the authorities will have employment at heart. Apart from us, apart from the construction business, there are not many jobs being created at all. I don't believe that the automotive industry creates many jobs, cars are built abroad. The de-industrialization of France has been going at a steady pace for the past 50 years and, now, we are the only manufacturing industry in the game. I think we're fairly well protected regardless there again of the outcome of the elections. Now, if you look at Colas' order books, at least in France over the past four years, over the past four years the numbers were very low indeed. Indeed, you can see that some of the roads -- infrastructure has been poorly maintained. I think we've really hit rock bottom. I have reason to believe that there will be rather good news in the making. I look at the decisions that were made by the present Presidency in housing. We started off building new houses, the program was halted, and then it was restarted. It is unfortunate that this should be interrupted, because this had devastating effect on employment, and I think that many politicians have understood this. Again, we're fairly optimistic there.
Frederic Boulan: Frederic Boulan, BofA Merrill Lynch. I have a question about construction, talking about a guidance for margin. Is it the case that Construction and with Colas, well, can you tell us a guidance of growth in revenue for 2017? Second question again about Telecom CapEx, you were mentioning 1.2 billion in gross CapEx for 2017. But what is the medium-term trend after 2017, especially if you're looking at 300 million cash flow? Are you still looking at the same order of magnitude for capital expenditure, or was that only a temporary phenomenon?
Olivier Roussat: In the guidance that we're giving, CapEx at 1.2 billion for 2017, CapEx for 2018 will be slightly above 1 billion, so that's at least the numbers we're working on. In the longer term, and looking at capital expenditure up until 2019 we're looking at investment, but we are still looking at 300 million cash flow in the horizon we mentioned. We do believe we can generate that cash flow while spending the capital expenditure required for FTTH.
Philippe Marien: On the construction line, in terms of sales, we're looking at some growth not huge. We're not looking -- that's not the purpose, that's not the objective. We have a big order book; we have a good outlook. In the three construction businesses, we will have to be selective, that will be the operative word, so as to -- we prefer good margin then good volumes. We want to have a healthy growth in all three construction businesses, but what we're looking at is improved profitability.
Martin Bouygues: Yes. In the construction business opportunities abound; there are all sorts of projects we consider every day. This means that we are in a position to be selective when it comes to picking the businesses we want to take up. In the United States, there's a big plan to rebuild infrastructure, that's a new administration end. Colas is in a good position to tackle that. Likewise, in Britain, Bouygues Construction and Colas are well positioned to take up infrastructure projects, and likewise around the world. So through two companies, Colas and Bouygues Construction, they are well positioned again to take up what new demand will occur.
Thomas Coudry: Thomas Coudry, Bryan Garnier. I have two questions about Telecom; one threat and one opportunity. On the opportunity, Arcep, the authority is in the B2B, we would like to see another major player after Orange, and SFR. Is that an opportunity for Bouygues Telecom, both for organic or external growth? That's an opportunity. In terms of threat, to what extent can you maintain the good performances? Where, in 2017, SFR could have a turnaround after they've been investing in their mobile network.
Martin Bouygues: Now on B2B, Bouygues Telecom has become a credible player and we certainly intend to develop our offer in B2B. Arcep is well aware that now we have become a player that needs to be reckoned with. Of course, we have a lot of catching up to do, but this has been our strategy; we've been earning many large accounts over the past 18 months and, in particular in 2016, and we certainly propose to go -- to continue that way. If there are acquisitions on the map, we might consider them; there are none, as we speak. Yes, the second part of the question on, well there were two questions; one on the turnaround of SFR. Well, yes, one piece of information that you may not have in mind, but our first supplier of customer in 2016 was not SFR. SFR was not -- is not the prime -- is not the first provider for [indiscernible] Yes, there are four of us, so -- well, there are two remaining operators from where customers can come.
Thomas Coudry: Another question; for a while we've mentioned the new outlook in the construction business. There are infrastructure programs that could be rolled out in a number of countries. Now, there's been talk about this in Europe for some time, but I'm not certain that the Juncker plan has made much of a difference. In the U.S., they talk a lot about roads and bridges in the U.S. and the need for investment there and not much has happened, has it? Now -- and indeed back in Europe, in Germany we found that part of the highway network is also in a poor state of repair. In this country, again the housing needs show that construction is not as good as it should be. Now, if you look at your business for the past four years, there's been a sort of sluggish growth with some ups and some downs. Now, this whole business of infrastructure seems to be something of a myth. For sure, there will always be infrastructure work and there will be work for you to do, but is there reason to believe that there could be a real ramp-up of capital expenditure which would really create a new deal in these countries? And then, the follow-up question, you are saying that, well, we don't want to spend too much money now because we have to allow for the future growth, but is this to say that this is no longer business as usual? In other words, you have questions about the way in which you propose to stimulate growth, and so you're saving resources, capital, and so how does this fit in with the infrastructure projects?
Martin Bouygues: Well, look, in the telecom business there is a plan for continued capital expenditure, Olivier Roussat told you more about this; likewise, in the other businesses. In the construction businesses, well, there are two types of development: there's organic and external growth. Now, for Bouygues Construction, it's mostly organic growth is the main driver and external growth is secondary. Whereas for Colas it's the other way round: external growth is the main driver and organic growth is secondary. So, but the two go nicely together. For Bouygues Immobilier, Bouygues Immobilier also has plans. Bouygues Immobilier is in a good position in France, but also in other countries, not just in Europe, around the world. So, there are many, many opportunities there. Now, regarding infrastructure let me tell you this. There is -- no economic growth anywhere around the world is possible without infrastructure; infrastructure covers everything. It just so happens that we are right at the heart of this business: roads, telecom, hospitals, plants, ports, airports, railways; you name it, that's our business. That's the one good news. The other good news is that all infrastructure, well, just like the rest of us, they take the age by one year every year. This means maintenance is required. Not only does this, this infrastructure needs to be upgraded, modernized, improved, but the new infrastructure needs maintenance, and that's also our core business. We have -- there's plenty for us to do, and this is a big world. No change of pace. No, this is a global business; when you've one region that isn't doing well, others are. Let me tell you, we have a huge advantage over in this industry; when an industry has built a plant in a given country, they have to stay there and make do with it. Not like us; our assets move around all the time. That means that we area where we need to be. Obviously, there will be a change of pace. Since the 1970s, we haven't had a development program of several tens of billions for over 50 years. The last time was with what we call [la vie nouvelle], new cities. In Central Europe with a new five-year plan, which is a very, very substantial development plan, so at least in France and Central Europe there is a very clear change of pace. In the UK, the change of rhythm is perfectly clear: the lack of growth due to Brexit will have to be offset, and the plans are already underway. In the US and Canada, plans are being developed. At Colas, in particular, we see that there are calls for tenders for a whole series of programs in the US. So, we can't say that there is no change of rhythm. A, there is, and it's a different of a project. These new projects include technical dimensions or environmental dimensions that are much more sophisticated than in the past, the fact that our future hinges entirely on infrastructure and road is not entirely true. The necessary inclusion of sustainable development obligations will shape development in years to come, it's really going to shape all of these activities in years to come. We are really at the heart of the whole system. We are going to develop, don't worry. Next question please? Believe me, trust me.
Eric Le Berrigaud: Eric Le Berrigaud, Bryan Garnier. There's a whole series of questions on real estate, Colas. Olivier said he expected the housing reservations to be stable in 2017 in France; I'd like to know what you think of the real estate market, and in particular do you think the market will continue to pick up. I know there's a decline in the level of stock. And what about your stock of unsold housing?
Olivier Roussat: Well, it's infinitely small is the answer, infinitely small. It's just a few days of sales. This is a topic that Francois Bertiere is keeping his hawkish eyes on. At every single work meeting, it's one of the things we watch most closely, because it's particularly important. But the stock of unsold housing is infinitely small. As I said [indiscernible] of a few days of sales, and we're watching it very, very closely. The market has good momentum; there's small growth. But, unfortunately, that creates an increase in the cost of land, because there's an organized shortage of building land in France. There's no shortage of land. It's land that can be built upon that's lacking. As for the rest, well, the market trend is perfectly satisfactory.
Eric Le Berrigaud: I have a second question concerning Colas. A substantial improvement in the operating margin, a 70-basis point margin by comparison with the previous period. How much of that can be explained by non-recurring effects such as SOD and Dunkerque?
Unidentified Company Representative: Yes, Dunkerque does go some way to explaining that. Herve will tell you more about that. And the disposal of subsidiaries in Asia, no, that's not in our operating income.
Herve Le Bouc: The SOD impact is a recurring impact. The refinery is closed now. We won't be recording losses as in previous years. The 2015 was to be compared with a negative performance. But in 2017 and from then on, we should expect the same level of performance in terms of margin as in 2016.
Eric Le Berrigaud: I have another question concerning Colas if I may, something I didn't fully understand in your press release on Colas. It talks about a significant increase in the dividend per share.
Martin Bouygues: Yes, correct.
Eric Le Berrigaud: I can't remember the exact amount. It's 8.20 per share, up from 4.45 per share in 2016. That's over 50%. Is there any particular reason for that?
Martin Bouygues: Well, because net income has increased that's why.
Josep Pujal: Josep Pujal, Kepler Cheuvreux. I have three questions if I may. My first question concerns your development. You said there are a number of things on the table in a certain number of your businesses. I've also noticed that in telecoms, the worst is behind us. Is there any leeway for a new business segment? Or would Bouygues prefer, on the contrary, to focus on its existing businesses and reinforce them? That's my first question and it's about diversification. My second question, unless I'm mistaken, your message on telecoms was quite confident. You said the worst is behind us and that kind of thing. Are you ruling out further pressures on ARPU? And if so, why? If there were to be greater pressure on ARPU, do you believe that your position is strong enough to weather the storm? My third and final question concerns the 4G box; 10 million households eligible. Over whatever period you're most comfortable with, two years, three years or four years, how many of these do you expect to become clients? It's not just a matter of being eligible.
Martin Bouygues: Well, let me answer your first question first. As things stand, we've decided to focus on the business segments that we have. First of all, because we believe that we've suffered quite a lot in the Group in recent years. We've been through the crisis like everybody else, but we've had the telecom crisis on top of that. We also have quite a lot of ideas and projects in mind to continue to expand and develop in businesses that we know well. The advantage in developing in businesses that we're very familiar with is that we have good reason to believe that we have maybe a better grasp of the risks. That may not always be the case, but it usually is. That's why we believe that's the right priority. Now, we have no particular target, in terms of developing into a new business. But who knows? The future is full of opportunities. In the past, we've always taken a very opportunistic approach. We will continue to take that approach. That's how we do business and that's something that I think suits us very well. Let me add that I think the world is going through a period of uncertainty. The idea is that we will develop in businesses we know well, in markets that are less exposed to risk than others. Though our level of risk is low, these are all great strengths in getting through stormier periods. Nothing improbable about all this. As for the message on telecoms and ARPU, well, as you can see in mobile, ARPU is not declining. You could imagine it crashing, but I don't see why it would. I've no reason to believe that. There are operators putting out very competitive offers at zero I think, even in France, below €0. I can't see how far they can go. We already have offers at zero. I think we have great advantages with the first and best 4G network in France. We will continue to invest in new technologies with the arrival of the fifth generation. Just imagine that the situation were to be turned on its head in France. Just imagine the market were to turnaround completely. Well honestly, everything's possible, I can't see how or why it would happen. If that were to happen, we'd adapt. Let me add that the bigger the operator, the more tempting it can be to make very aggressive offers with the immediate consequence of destabilizing your own customer base. We'll see how things work out. But, very frankly, I believe that our results in 2016 were very promising, were of very good quality and we have no reason to think the future is any gloomier than it is. We are of course very keenly tuned in. We will be putting out new offers but there are no difficulties really worth talking about. This brings me to your question about the 4G box, which is something of a windfall. Why? Because we've invested massively in two areas: first of all, in 4G and, secondly, in frequencies. Remember that Bouygues Telecom is original in that, in terms of its size, it has the best portfolio of frequencies for its size. This of portfolio frequencies -- while mobile consumption is weakest, we have available frequency for that type of service. Not only do we provide a service that nobody else can offer, which has its benefits, but there's also the second advantage, that of [Huawei], if you prefer, and we find ourselves in a very different competitive situation. Between that and making medium or long-term forecasts on how the market will pan out, it's extremely difficult, because it's a very new market. Remember, we're not putting 4G boxes in all our points of sale, telling people to hook up and link up, that's not the way we're doing it. The opportunity for this particular box is in micro areas, we do not want to destabilize our mobile network with this type of offering. So, this is aimed at a very specific target category. There are a lot of people in France who have no Internet access, quite simply because they're in areas that are too far removed from -- my own case, in fact, when -- my house in the country. This is why I'm very interested in this type of product. In fact, I was one of the early testers, that turned out to be the best solution, it worked very well. We found that in my particular area there were a number of other people, who were interested, and we made the same offer; we're all very happy with it. So, it's aimed at a particularly category of people.
Nicolas Cote-Colisson: Nicolas Cote-Colisson, HSBC. The 12,000 premises that can be marketed or targeted for fiber, is that co-investment or would you prefer to use Orange's wholesale products? Another question on the reservoir of assets for sale, the ones that don't set you apart as you've said at Bouygues Telecom by 2020, just to get us a better idea of the net CapEx profile?
Martin Bouygues: I'm going to begin with the second question. Maybe I forgot to point out something earlier on. In our CapEx in 2016, 2017 and 2018 to a lesser extent we have CapEx for our network sharing project with the SFR. This project will be completed by 2018, but the CapEx in -- over the last three years will not be renewed, because we'll have finished that produce -- we'll have 99% of the population covered by 2018. So, we will have rolled out that network sharing. Secondly, when you look at the profile CapEx that we have at Bouygues Telecom, which is at high levels. As I said earlier, on we are co-investing 5%, 10%, depending on the customer base. We will buy tranches of co-investment in the lower and medium density areas. This is what we're talking about when we talk about co-investing.
Unidentified Analyst: [Indiscernible] I would like to come to infrastructure for a second. You know me well, you know what I'm interested in. If there's a region of the world that needs infrastructure it's indeed Africa and that's undeniable. But I made good note of the fact that in your presentation you mentioned roadworks in Guinea-Conakry. I'd be very keen if you could tell us a bit more about your view of development here. I know the Group's operated a lot in Cote d'Ivoire and the Gabon?
Martin Bouygues: Gabon, not to the same extent as in Cote d'Ivoire. But in Cote d'Ivoire we built a bridge. It was premier in Africa, it's the third biggest bridge in the region actually, and it was a premier in Africa and it all went very well. There's plenty of traffic. As you pointed out quite rightly there's a huge need for infrastructure in Africa. The problem or difficulty with Africa is that not all countries are organized accordingly. We need to solve one problem to begin with; that is to deal with countries where there are no problems with ethics. We have no problems with ethics in Cote d'Ivoire. Where there are problems with corruption, well, these are countries that aren't' accessible. I'm afraid Africa hasn't yet solved all its problems, far from it. So, yes, there is large potential in Africa, yes, and the infrastructure development in Africa is a great opportunity. I have a deep-rooted belief in Africa, but the conditions aren't all a match, not any way -- not just for the moment in Africa.
Unidentified Analyst: If I may add an additional question, I want to come back to Telecoms. A very good network that out of 50 gigs for €10, very good in terms of quality, but what's your target in terms of market share, or what is the goal in terms of quality for clients? A second question on consolidation. In early 2014, you were tempted to buy SFR. If you had -- about this time of year you were in talks to buyout part of Bouygues Telecom or to contribute Bouygues Telecom. What is your view on the telecom landscape? How do you see it changing? Or how do you see your own position changing?
Martin Bouygues: In answer to your second question I've already said everything that needs to be said, there are no talks ongoing so it's a non-event. Regarding your first question. In mobile, we're adapting day in/day out. Richard Viel is constantly arranging trade-offs between market share and value. We can decide one thing at 9 o'clock and it will be in all in place by mid-day and takes just a few hours, all very simple. But in fixed telephones, there's a lot to be done. You talk a lot about mobile phones but there's a -- I think -- I firmly believe that in fixed telephones there's room for creativity for innovative offerings at a lower price; I think there's quite a lot can be done. Do you know? I'm not concerned I think we're constantly arranging trade-offs between market share and value. This is something we know how to do on a day-to-day basis. By the way, you will have seen earlier on in the order intake, the mobile customer base has increased; not bad at all. ARPU remains unchanged, so I think that's evidence of the fact that we're able to manage the situation without any difficulty.
Emmanuel Pinault: Emmanuel Pinault, Avalton Investment. I have two questions. First question about the dividends channeled back by subsidiary. Is that a change of financial strategy at Bouygues? Does that mean that as Bouygues' dividend is unchanged can we expect some other type of shareholder return? And my second question is, could you give us a brief update on your stake in Alstom? There are a lot of comments about your stake. Is your stake as small as your comments would suggest?
Philippe Marien: No, no, I have no comments to make, certainly not a majority stake. We have a financial interest. Alstom's position in Bouygues is very different. Now, Henri Poupart-Lafarge and his people have done a remarkable job at Alstom. The Alstom turnaround have been a remarkable, technical quality of order intake; level of business; development of margins. Now, as for what the French State decides to do in the months to come, well, like you I'm waiting to see. We'll see in the fullness of time. I don't know who will be announcing the decision, because it seems to me that there are a number of stages between now and the actual time the decision will be made. We'll adapt. We'll adjust and I've, again, no great difficulty or concerns about that. As for the dividend paid by subsidiaries, our policy hasn't changed at all. It so happens that a number of subsidiaries have traded off certain assets that have generated cash. You'll note that the parent company -- well, Bouygues has always been a very good parent. We carried the debt, not the subsidiaries, so when the subsidiaries have cash, there's nothing unusual about the fact that they send some of it back to the parent. Of course, the parent is happy to reduce its debt. But Bouygues parent company has every intention of continuing to be a good parent to its children, its daughters. That's how we've always managed the Group. We feel it's -- that's the right way to manage the Group.
Martin Bouygues: Philippe, a very -- just a technical point if I could, the interim dividend, the down payment we ask for in 2016 was for preventive purposes, in the event of the Budget Act being changed in such a way that it could cost us money in 2017. This was to anticipate potential amendments to avoid -- this will not, in any way, modify the actual dividend paid by the dividends in 2017 except when they have exceptional results, which was the case of Colas, for instance. So, it's simply an interim dividend payment, something we don't usually do, for preventive purposes and to cushion ourselves against any change in the Budget Act, which, in fact, wasn't modified as regards the payment of dividends with tax integration but that could have been the case. As I said, it's a technical reply to a technical question, but this does not mean that the dividend policy in subsidiaries is changing in any way. As for the parent company, with Olivier Bouygues and myself, we are perfectly concerned, directly concerned, so we look at the tradeoff here between the Group's needs, it's eagerness to develop and all other considerations. But even during the most difficult of times, we maintained our dividend, because we felt it was only fair to maintain the dividend. That's maybe -- one last question, if there is one, that is. There are none. That's fine. Ladies and gentlemen, thank you for being here.